Operator: Thank you for standing by and welcome to the StealthGas, Inc. Q1 2013 Results Conference Call. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. (Operator Instructions) I must advice you that this conference is being recorded today, Thursday, the 23rd of May, 2013. I would now like to turn the conference over to your first speaker today, Harry Vafias, CEO of StealthGas. Please go ahead, sir.
Harry N. Vafias: Thank you. Good morning, everyone. Welcome to our conference call and webcast to discuss the results for the first quarter of 2013. I’m Harry Vafias, the CEO of StealthGas, and I would like to remind you please that we’ll be discussing forward-looking statements in today’s conference call and presentation. Regarding the Safe Harbor language, I would like to refer you to slide number one of this presentation as well to our press release on our first quarter results. With me today is, Konstantinos Sistovaris, our CFO. And if you need any sort of information on the conference call or the presentation, please contact Konstantinos or myself. Before I start with the slides, I would like to comment on the results we released today. Overall the first quarter was another quarter of healthy profits even though we did not announce record results this time. The majority of the vessels produced good revenues. However, I feel that we have done a bit better and could have added at least $0.03 or $0.04 in our bottom line, but we did have a couple of events, prohibited us like the expensive dry-docking of one of our large oil produce, which is our best earner and some unforeseen repairs and offhire that we’re undertaking on another much older ship that in total, I’d estimate it cost us about $0.5 million for that ship alone. Let’s begin from presentational slide number 2. The main event not our first quarter, but the last month was a very successful equity offering of date. Our initial growth today is about $80 million, but when I traveled to the States, I saw that it was a much more interesting story than I expected and thus we managed to upsize the offering and we’ve underwrite this over allotment, but with that upsize we collected about the $110 million and my family supported this offer by subscribing for about 5% of the offering. The reason we’ve been reoffering now is to enable us take a more aggressive approach as we feel this is the right time to grow the company. When we have established the freight markets on the right path but there is still room for improvement based on the industries fundamentals in a very low order book. Over the next two years, I middle term goal is to grow our already leading position and competitor between 20% and 25% over the global pressurize handy size market. We believe that our current position with our previously available cash, the money we raised plus leverage, we could have up to $400 million and firepower for investments. We have already made agreements to grow our fleet with about $100 million of investments for five vessels, three secondhand and three newbuildings, and in addition another $100 million investment that was previously arranged for another four newbuildings. That leaves us enough room for further expansion and we are already in discussion for further acquisitions. While increasing our leading position in our segment, we aim to maintain the core strategy that has made this company so successful. So I will say every quarter, we believe that the young fleet will give us operational advantages while the current average age of our fleet is 11 years, well below the industry average. We aim to maintain, especially lower this by adding more than eco type vessels. In terms of leverage, we have always been cautious to maintain moderate leverage and we do not want to over burden the company. While we drove the company and add more vessels and that will continue to absorb this principle and remain not to surpass 55% to 60% debt to cap that we consider a very safe level. We continue to strive to obtain a secure and visible revenue stream with stable and predictable cash flows and take opportunities to contract fewer charters whenever it’s profitable to do so. At the moment, fixed impairment for our fleets for 13 spanned 77%, with about 50% already fixed for 2014. We continue to have strong charters which we always accounted by the risk and in a good market such as LPG efforts continue to strengthen and we did have charges before. We would expect to be able to find a new charter without hurting the revenue potential. Now in terms of the cost efficiency of our operations, I believe we are managing these vessels more efficiently than many competitors except the Chinese and as well growing our fleet, we will be able to improve our economies of scale. Our net income break-even level per vessel per day was $5,952 per vessel per day compared to $5,824 in the previous quarter and $5,847 in the same quarter of last year, which push us comfortably in a profit making territory. Slide number three, as previously mentioned we not have enough firepower to grow the fleet significantly over the next three years. Over the past two years, we held the fleet steady at about 37 ships and only engaging some fleets with new serving older ships and adding other ones. I felt that while we are seeing the stage of a recovery in the LPG market, our low stock price not justifies yet an aggressive growth strategy. What has changed is up that I’m more confident now for the market recovery sustainable and there is still room for improvement based on the industry fundamentals and but our stock price trades grow internally today. As a result we are now executing a more opportunistic good growth whereby we have already laid out the increase of the LPG fleet from 33 vessels to 42 vessels by acquiring 3 second vessels in the current quarter, two new buildings by the first half of ’14, two new buildings by the second half of ’14 and two more new buildings by the first half of 2015. We have room for significant more growth and I’m confident we are going to conclude more acquisitions very soon and looking in the market for modern secondhand ships and ecotype newbuilding vessels. Now the yen has weakened and Japan has become more competitive in the ship building front. I will now hand you to Konstantinos for some brief comments on our first quarter results, our financial position and later I’ll discuss the markets and industry outlook.
Konstantinos Sistovaris: Thank you, Harry. Good morning, everyone. So let me continue the presentation with slide number four, for a summary of our income statement for the first quarter of 2013. With an average of 37 vessels owned and operated in the first quarter, the same number of vessels as last year. Our revenues came in at $29.4 million, slightly higher than last year’s $29.1 million. The majority of the vessels performed well during the quarter, but we did have the drydocking of (inaudible) that cost us about $200,000 in lost revenues and the repairs and offhires of another vessel, that cost us about $500,000 in lost revenue. Our voyage costs were increased to $3.5 million, mainly due to the higher number of vessels in the spot market and higher bunker consumption. We had an average six vessels in the spot market compared to four last year. Our operating expenses at $8 million were in line with our budgets. We also had drydocking costs for $0.5 million and interest and finance costs of $2 million. Both these numbers saw reduction from last year. As a result, our net income for the quarter was $6.5 million compared to $7.4 million last year. However, in last year’s number was also included an extraordinary $1.3 million gain from the sale of one vessel. Earnings per share for the quarter were $0.31. EBITDA was $15.8 million, included in the net income for the year is a $25,000 gain from interest rate derivatives. This amount includes a $1.2 million or $0.06 per share of interest rate swaps arrangement. Excluding this items our adjusted net income for the quarter was $5.3 million or $0.26 per share compared to $5.2 million or $0.25 per share for the same period of last year. Slide number 5, looking at our balance sheet we don’t seen any significant changes from last year. In terms of cash we continue to maintain a health cash balance of $52 million including the restricted cash. It is in the second quarter that our cash balances will be so significant increases due to the offering. As of March 31, we had $19.4 million in advances for vessels under construction and $627 million in vessel book values. Our total assets were $708 million at the end of the quarter. In terms of liabilities the current portion of our long-term debt that was long repayment that gets lower next year remained constant. We have around $9 million of principal debt repayments per quarter, $36 million per year that we can mix comfortably from our internally generated cash flow. Next quarter we expect this number to increase by approximately $10 million due to a balloon payment scheduled for one of our loans in the middle of 2014. Before the payment is made however in 2014 we will enter into negotiations with the bank to extend the loan or we’re going to refinance it. Other current liabilities at $18.4 million are slightly decreased. Our long-term debt also decreased to $300 million which is the lowest level, it’s been the second quarter of 2009. We do, however, expect this level of debt to increase going forward as we will add more debt for new acquisitions at levels between 60% and 70%. We have already negotiated a new facility for the three secondhand vessels and we are looking at 65% finance for a seven-year term loan, and I’m pleased to say that in general there is a lot of interest from banks to finance LPG vessels. Other liabilities of $5 million relate to the fair value of interest rate swaps we have with our banks to protect us from increase in the LIBOR rates. Some of our interest rate swaps expired recently, so that we have today around $60 million notional of interest rate swaps compared to $120 million at the beginning of the year. Since we entered into these agreements many years ago at much higher levels and pay on average 3.5%, the exploration of these is a positive for the Company and we expect to have at least $2 million in savings from reduced interest we’ll have to pay on these in a year’s time and it starts from the current quarter. We’ll now, please turn to slide number six. These are our operating highlights for the first quarter of 2013 and 2012. In terms of fleet data, we have an average of 37 vessels, the same as last year. So the total number of days has not changed much. From 3,307 voyages days for the fleet in the first quarter of 2013, 518 days were spot market days. So we had an increase in the number of spot days compared to last year’s 303 days. While our spot exposure is not significant at this point, we intend to keep it at the same levels or decrease it gradually. In terms of our operational utilization ratio, our percentages at 95.9% have remained constant. In terms of average daily results, our average TCE rate was $9,600 per day compared to $9,682 per day for the same period of last year. Our operating expense is at $4,133 per day compared to $4,042 per day. And our total vessel operating expenses were $4,337 per day compared to $4,227 per day last year, which is a 2.6% increase. We still operate comfortably above break-even levels in terms of income and cash flow. I will now hand you back to Harry to provide you with some comments on the market.
Harry N. Vafias: On slide seven, we demonstrate our fleet employment profile and provide you with the earnings visibility for our fleet. In terms of charter types, out of the fleet of 37 ships we have 13 on variables, 17 on time charters and seven in the spot market. The Company expects to find [period] charters in order to secure its cash flow. We recently arranged for some period charters for some of our vessels. The legacy with charters for one-year, with two optional years in charters option, the Gas Cerberus where a charter was extended by one-year, the Gas Monarch was extended for six months, while we finally extended the charter of Chiltern for another three years and converted it from a bareboats to a time charter. We also expect all three secondhand vessels that we are acquiring to go on time charters relative soon. For the remainder of 2013, we have three vessels that are coming off charters; the Gas Cathar, the Gas Haralambos and the Gas Crystal. For 2013, 77% of voyages are fixed, for 2014, about 50%. We’ve a number of charters extending until 2016 and beyond. We continue to see opportunities to employ our vessels on medium and long-term charters and we will try to keep the same levels of charter coverage going forward. Our product bankers are chartered for four years. It’s very positive that we have secured contracted revenues of approximately $153 million up to 2017. Slide number eight. This slide highlights the steady growth of the international seaborne trade for LPG and Petrochemicals since 2005. LPG seaborne trade has had a very stable growth for the past year with an annual 10 year average rate of about 5%. Only one year did we see negative growth and that was in 2009. Going forward estimates are for about 5% annual growth until 2016. In 2012 LPG seaborne trade accounted for 67% and Petrochemical gases for 14% of the total. The main key drivers behind this steady growth is firstly, the growth from emerging countries, especially for domestic use. To give you some examples today Japan, the biggest importer of LPG and in matured markets 50% of households use it. So, emerging countries are still enormous potential for growth. In Nigeria 62% of the households still use charcoal and firewood. But it is not just household use, what drives LPG demand. In countries like Turkey, 40% of cars use autogas, which has surpassed gasoline to be the second fuel after diesel. A second key driver is LPG being a byproduct of LNG and it’s also correlated to the increased production of LNG and there are many LNG projects being developed around the world. And the growth in LNG obviously impacts on LPG supply which is too expensive too store and therefore needs to be shipped. There are also increased businesses between feedstock supplies, LPG production and the end users. Last but not least, the U.S. shale gas boom is also driving the increasing trade volumes. On slide number nine, we can see export growth by destination and that LPG trade has historically been driven by the Middle East. In 2012, the Middle East was the largest contributor to growth in total LPG exports, with an increase of LPG supply for exports by about 8%. Asia is the key region driving LPG imports. We grew by 10% in 2012 and comprised 60% of the total growth in seaborne LPG trade. We have lately seen a special increase in imports from India. Let’s mention that two-thirds of our fleet operating in the Far East where demand is greatest while the remaining fleets operate in the Middle East, the Mediterranean, Northwest Europe and Latin America. Lately we have seen revised interest to shipping cargos out of the U.S. To understand how StealthGas operates, our vessels transport LPG from major hubs to small market final destinations like, like a “hub-and-spoke” system. Let’s turn to slide number 10. On that slide, we can see in more in-depth of how the U.S. shale gas is a game changer in the current dynamic. The shale gas boom in the U.S. [is] a net exposure of LPG the past year as it’s the cheapest in the world due to surge in production. There seems to be an overcapacity situation developing in the U.S. and companies are trying to find outlets for their increased production. Again, the backdrop of risk factors, the U.S. LPG exports, mostly propane, are forecasted to triple by 2016 to 12.1 million metric tons, 11% of the global total, up 4.5 million metric tons in 2011, only 4% of the global total. In August 2012 the U.S. Coast Guard started allowing pressurized ships to load propane in the U.S., which will facilitate export growth and our company intends to capitalize as this market continues to develop. At this moment, it seems that export capacity is growing in terminals held, but enterprise in Targo and now it’s being developed, but at the same time there is ways to develop new pipelines in order to bring their product to places where it can be exported from like Mont Belvieu. While the U.S. is still a developing story and extra volumes are still low, on a global scale we believe that our fleet could benefit from increasing product supply especially if the markets at the time already tight. Let’s move to last slide number 11, that’s my favorite slide and the most important one as it so far differentiates us from the majority of the shipping segments. First of all, you can see that the LPG fleet growth in our segment based on the current orderbook remained smaller from all the other shipping segments. Whatever the demand prospects maybe for most shipping sectors, while we’ve still an orderbook ranging from 10% to 15% and higher to be added to an already inflated fleet. The future trade markets are best hard to estimate, in our trade the orderbook of the next two years is only 6% in total or 15 ships less than the projected for the supply increase we discussed earlier. More than 20% of that 3000 cubic meter fleet is over 10 years of age, but only ships in the same size are ordered for delivery for the next two years including the ones that belongs to us. That combination of the small orderbook and strong demand dynamics supports stable chart days and I believe this company is well-positioned to take advantages of such strong fundamentals. If these projections might be less the fleet of modern ships will command rates and if the growth that we’re planning will position our company to take advantage of the strong fundamentals in this space. I’d like to close this presentation by saying that we are positive about the future, we just concluded a very successful offering not withstanding the short-term diluting effect, we are position this company for next phase of expansion at what they considered to be very good timing. When we’ve targeted all the acquisition we’re going to see the benefits of these latest moves. This is still a good entry point for investors in our company seeking strong fundamentals, solid balance sheet, and growth potential. We’ve now reached the end of our presentation. We’d like to open the floor for questions, so operator please open up the floor.
Operator: (Operator Instructions) Your first question comes from Jon Chappell of Evercore Partners. Please ask your question.
Jonathan B. Chappell – Evercore Partners: Thank you. Good afternoon, Harry, Konstantinos.
Harry N. Vafias: Hi.
Jonathan B. Chappell – Evercore Partners: Couple of questions for you about your fleet development. So first of all, in one of the slides you had four newbuildings delivering in 2014 and then two in 2015. It’s a little bit different from, I think, the last slides we saw in your deal presentation. I think there was only two in 2014. Has the delivery of a couple of ships have been accelerated, so now there is only going to be two beyond next year?
Harry N. Vafias: No. The original orders we had prior to the offering, the original four orders these are falling a big back we’ll come back with a formal announcement when we have signed a revised agreement with the yard. The newbuildings are on track and they will deliver in the summer of 2014. So I don’t know if that covered your question.
Jonathan B. Chappell – Evercore Partners: Yeah, okay. And then also in the prospectus you’d identified the nine, but then you had said that there were two others that you were currently negotiating with. How close are you to adding additional newbuilds to the nine that are already kind of sat in stone?
Harry N. Vafias: As you know we have the money, we have the finance and we know the specification we want. So the ball is the hand of the yards, which obviously we don’t control. We hope that within the next 45 days we’ll be able to announce a couple of things.
Jonathan B. Chappell – Evercore Partners: Okay. And then that also kind of leads into asset availability, I think the last time we spoke seem like there weren’t a lot of available secondhand ships for purchase, maybe there is a little bit of optimism in the markets and owners were holding on. As you look at the dynamics now of newbuild ER capacity versus potential secondhand availability of ships, where do you kind of see StealthGas going with the remainder of your firepower secondhand versus newbuild?
Konstantinos Sistovaris: Unfortunate Jonathan we don’t have a choice to give you an example, in fact in modern secondhand ships at the moment there is zero availability and that obviously we have always keep our eyes open for secondhand ships. We haven’t found anything at this particular moment. So at the moment all our focus is on newbuildings with new designs.
Jonathan B. Chappell – Evercore Partners: Okay. And then I was also being asking your payment slide there at the end about 6%, you’re potentially looking at newbuildings with new designs, I would imagine some of your competitors as well. What’s the shipyard capacity, timing first of all, you place an order today? When would you get the ship? And then second of all, are you concerned at all that with the optimism in the space, others will follow you into the newbuilding segments and then potentially kind of limit the upside of this market longer-term.
Konstantinos Sistovaris: Well, Jonathan as you know, already the answer to that number; one, we have a fantastic advantage of Chinese and Korean shipyards basically do not build pressurized ships. So immediately 85% of the world capacity is out. So who builds your ships, not even your typical big Japanese yards like Mitsubishi or material Kawasaki they don’t build them. So it’s only specialized small Japanese yards, whereas you were about between 8 and 10, but they are really, really small yards, that can’t deliver let’s say two ships per annum. At the moment, the majority of the yards are booked until ’15. We are hopeful that we will take a few of these best two. So worst case scenario is more people order these, orders will fall and meet and end ’15 or ’16, so at least for the next two years we are let’s say protected.
Jonathan B. Chappell – Evercore Partners: That makes sense. And then just finally one quick one for Konstantinos and you guys kind of talked about the drydocking and the off-hire times associated with the first quarter, which I assume it’s kind of normal course of business, but can you just give us update on the drydocking schedule for the remainder of this year.
Harry N. Vafias: Before, I hand it on to Konstantinos I have to tell you that these expenses drydockings was part of the reason that we don’t announce much better results on the respected course of last year, discussions were happened before Christmas. Therefore, we’ve been booked in the last quarter of 2012, their charters wanted to delay it and that’s why it fell in first quarter of 2013, and Konstantinos can tell you about the remaining drydocks.
Konstantinos Sistovaris: Okay Jonathan hi, we have one drydock this quarter, one next quarter and two more in the second quarter, I don’t know about 2015, but let me check and I’ll get back to you.
Jonathan B. Chappell – Evercore Partners: But these going to be less expensive and potentially off-hire than the one that Harry just explained about in the first quarter?
Konstantinos Sistovaris: Listen, it depends as you said before the reasons for this expensive drydock was A) it was in South America where obviously the yards are not as efficient and knowledgeable as in the far east and two new (inaudible) on the revenue because it’s one of our best earners and obviously there was a fire and that’s why we lost some significant revenue because of the fire. On all the remaining drydockings all are in ‘normal drydockings’ in the east, except one which is again in South America, but that ship is not such a good earner like the previously mentioned one.
Jonathan B. Chappell – Evercore Partners: Okay, that’s very helpful Harry thank you, thanks Konstantinos.
Harry N. Vafias: Thanks.
Operator: Your next question comes from Urs Dur of Clarkson Capital, please ask your question.
Urs Dur – Clarkson Capital Markets: Hi, good morning, good afternoon.
Harry N. Vafias: Hello.
Urs Dur – Clarkson Capital Markets: Hi, you mentioned in the call and I think they have been rounded down fast enough, remind us where you are per year break-evens and comparison to this year versus last.
Konstantinos Sistovaris: Yes, one second. Our net income break-even per vessel per day 5,952 per vessel compared to 5,824 in the previous quarter and 5,847 in the same quarter last year.
Urs Dur – Clarkson Capital Markets: Okay, very good.
Konstantinos Sistovaris: And as you noted Jon, PC rates are well over 9,000 at this point in time, if you exclude the older ships, yes?
Urs Dur – Clarkson Capital Markets: Yes, okay, very good. I get a lot of questions from investors about the impact of the U.S. market on your sales and on gas in particular and you do note obviously the U.S. shale gas is a game changer, but to what extent are your ships really going to directly benefit from U.S. movements as you note coast guard approval for fully pressurized ships is a positive, but to what extent are you directly exposed or do you expect to be directly exposed or is this just a case of a rising tide with boats.
Konstantinos Sistovaris: First of all I think it’s still fresh as we’ve discussed, so I don’t relay know the full effect of this huge amount of U.S. exports. I guess we will have to discuss that and allow the Christmas time to see the full effect after the full year of these new rules. We have already shipped that have loaded in U.S. but in the past we are not allowed as you know, but very simple answer to that, it also is about for us, in the reality it doesn’t make a difference because let’s say that even if none of our ships goes to the U.S. to load and if all the products leaves on VLGC for example, the VLGC’s will go somewhere, let’s say to Singapore or to Amsterdam and then they will need our ships for their local distribution of the U.S. cargo in smaller parcels. So we’re going to indirectly benefit. So to be honest with you for us the most important thing is as you have a huge increase of exports and a decreasing number of new building deliveries. There is a shortage of small high quality ships. Now how many times we will go to the U.S. and we’ll directly benefit, I cannot know that. I mean I will have to rediscuss it in about Christmas time.
Urs Dur – Clarkson Capital Markets: Okay, fair enough. I think its shifted to get that explanation, that sort of an explanation I’ve been discussing with investors too. Another question I guess from investors is something that we chartered about say even last week. I believe where is that, would you guys ever voluntarily mobilize or move or balance our fleet to a certain region in hopes of picking up attractive spot cargos for an arbitrage that maybe has opened up, or would you avoid that at all costs and go where your charter have you go and then look forward to nearest cargo. Would you ever balance long haul to take advantage of that arbitrage, I mean ever as to declare having two firm but is that something you avoid or is that something you do regularly.
Harry N. Vafias: These trans-Atlantic movements are done by the medium sized ships and the big ships. Well we move trans-Atlantically only when we have to move in order to get a profitably time charter or a profitable bareboat. It doesn’t make sense to move trans-Atlantically a 40, 50 big voyage for just one voyage unless there is suddenly a huge boom and there are spot voyages, more than [huge] and we decide to permanently locate ships, let’s say, in the U.S. We have not seen this now. We have ships very closely operating in South America, which are connected. I think there we have ships in Western Europe. So, again we can take them across very easily, but at the moment we have not done such a big voyage only for spot business. We have done ballasting big, big differences, but for period business.
Urs Dur – Clarkson Capital Markets: Okay. Great, very good, very helpful and very clear. If you guys might have a chance to call me offline, I had a couple of modeling numbers questions that are – no need to be on this call. So thank you very much for your time.
Harry N. Vafias: Thank you.
Operator: So the next question comes from Richard Diamond of Strait Lane Capital. Please ask your question.
Richard Diamond – Strait Lane Capital Partners LLC: Yes. Good morning. Good afternoon. Stock may have the best fundamentals, any publicly traded shipping company and as far as I can tell, you’re the only almost pure play to take advantage of increasing propane exports in the changing favorites. Here is my question. I have seen a number of analysts who have said that they expect propane exports in the next couple of years to double from the entire expect. Can you try to mention for me what that means in terms of demand for candy sized ships today and in the future? Thank you.
Harry N. Vafias: Thank you for your comments and the very interesting question, which is obviously very difficult to answer, it’s only a matter of mass. It’s only a matter of general worldwide economy. It’s only a matter of the supply of ships, which at the moment looks good. It’s a matter of how many ships will get scrap or will trade in substandard areas, which we can make assumptions but nobody can guarantee the things. We are very bullish for the next two years, as we have been saying for this same reasons not only because of the U.S. You have ship exports from the Middle East. You have Abu Dhabi becoming one of the largest exporters in the next 24 months. You have Qatar, you have Saudi Arabia, you have India importing much more than they did in the past. You have China, which is growing leaps and bounds and it’s also importing in very big quantities. You have Japan that traditionally has been importing very big quantities for the last 10 years, 15 years now. So I don’t know the direct effect how much that will affect the freight rate. I cannot tell you about how much the current average of 10,000 will go to 16,000 and nobody knows that, but I’m sure these huge year-on-year, very big exports from the U.S. will affect all sizes of LPGs either directly or indirectly and I’m sure that if the rates go back to the 2007 levels, that for us was a very, very good time, way back then the average earnings of our ship was $13,000 per day, and then a big factor of what will be the U.S. exports, don’t forget that was 15,000 a day if you include all our forth coming buildings, we’re going to have an EBITDA of an excess of $120 million to $130 million, so $120 million, $130 million with a market cap of $300 million now after cost buffering, I think the numbers look very, very good.
Richard Diamond – Strait Lane Capital Partners LLC: One more question, let’s say, I’m an another ship owner and I decide Harry has got a great franchise and I want to get in the business and I want to place a [John Ferguson] type big order. Am I correct in assuming that they wouldn’t get deliveries till 2016, is that soon?
Harry N. Vafias: Yes, they would might get a couple in the end of 2015 but if it was a big order, majority will be in ‘16 yes.
Richard Diamond – Strait Lane Capital Partners LLC: So basically for the next 2.5 years because you are embedded in this space and there are barriers to entry a 1000 ER needed specification of crudes to operate your ships?
Harry N. Vafias: Yes there are a variety of barrier, but you are correct, it’s not as easy to get in this business because of very nature industrial business, it’s not the same thing as buying a product banker or buying a Panamax bulk carrier.
Richard Diamond – Strait Lane Capital Partners LLC: Thank you very much.
Harry N. Vafias: Thank you.
Operator: Your next question comes from Michael Webber of Wells Fargo. Please ask your question.
Michael Webber – Wells Fargo Securities LLC: Hey Harry how are you?
Harry N. Vafias: Hi Michael.
Michael Webber – Wells Fargo Securities LLC: Good, you have already, first on a couple of things; I wanted to take back into the U.S., just a bit. I know it’s a bit on the horizon. But you mean that target enterprise already with export facilities, four Texas projects and six to seven others. I am curious; one, I know it hasn’t developed yet. When you think about those potential moves into the premier South American market, what sort of parcel slide, do you think we’ll see it, and may be too early, just curious as to whether or not, you think that is a move that you all could make and if – that’s probably a longer haul than what you guys are currently doing now. So I mean any color there? And then have any of these guys approached you yet, if they start selling it into the four markets to walk (inaudible) long attorney. Are they at the point they are having conversations with you guys yet.
Harry N. Vafias: First of all as we discussed I think now it’s really developing. So I cannot really make a forecast. We’ve only basically six months of rapid growth. I said before, I think personally the majority of the export will be on bigger ships. But I again mentioned for us it doesn’t really matter certainly again and again because the big ships cannot reach the majority of the destination that may be LPG and thus whatever happens they need more ships for the local distribution to China, to India, to Vietnam, to Japan to Northwest Europe, to small ports in the Caribbean, they need my ships. So I think some of the cargos will be our parcel size and most of them will go to the south to South America, but obviously everybody well economy of scale so for the bigger cargos and the longer destinations, the smartest thing to do is take those bigger ships.
Michael Webber – Wells Fargo Securities LLC: Right, now that makes sense. I think we’re just coming out of it from a perspective of it’s going to be a positive, but as you know, if it is – if you are trading into that Caribbean market that’s probably even have been a longer haul than what you will be doing if you’re just doing a feeder. So it’s a question of how big a positive it is rather than whether it’s going to be a positive.
Harry N. Vafias: Correct. Michael, but [the most just] – we have 80% of the fleet on period. So if there is suddenly a huge rush for the U.S. market, then for the time being we will not benefit. My charters will benefit, because we have – out of the 40 ships, we have only six or seven spot. So maybe we’ll get some of this prompt benefit, but the majority of the benefit will be taken by the respective time charters.
Michael Webber – Wells Fargo Securities LLC: Yes, that’s why you got to keep ships because you can get much further there.
Harry N. Vafias: That’s why we have this type of contract that we have the guaranteed income, but on the same side we have 10 ships opening every year, excluding new acquisitions that are coming up for renewal and that’s why we try to get higher rates than the rates we previously had.
Michael Webber – Wells Fargo Securities LLC: Sounds good. One more, then I’ll turn it over, and this maybe a bit on the margin. But on the new [PA] facilities opening in Asia, obviously there are more propane demand as they’re producing more propylene. You think you’re going to see a pretty big mix to your cargo ships kind of beating volumes or do you think (inaudible) in terms of your mix?
Harry N. Vafias: For margins seen still until now, we are surprised that the charters in these especially are growing – are very, very keen on the smaller ships and when I say smaller I mean the smallest of what we have because we have the 3.5 to 7.5. They all want the 3.5 size ships. I don’t know why. Maybe there are lots of this size, maybe the [four to] 10 of those are made for this size, but I see a sudden rush again back to the smallest pressurized ships available. So, one of the ideas is to go back and rebuild the base, not rebuild, build more of these smaller ships, but obviously with higher specification and ecotype to take advantage of this scenario.
Michael Webber – Wells Fargo Securities LLC: All right, okay. And that sounds like it’s a four kind of a ship from to more propane. Okay. All right. That’s helpful, Harry. That’s all I’ve got. Thanks for the time.
Harry N. Vafias: Thank you.
Operator: The next question comes from Omar Nokta of Global Hunter Securities. Please ask your question.
Omar M. Nokta – Global Hunter Securities LLC: Yeah. Hi. Thanks. Good afternoon, guys. I just had just a couple of questions regarding the short-term market. We saw obviously the VLGC came off quite a bit in Q4 and the first part of this year. I’m just wondering what kind of impact that had on the smaller vessels showing that this is in your earnings release that the average realized rate was just a little bit lower than last year. And just wanted to get a sense from you on and I’m sorry if you’ve addressed this already. I came on late, but just wanted to get a sense of how the spot market has developed in Q1 and how that compares to where it is now?
Harry N. Vafias: Thank you. First of all, Omar, don’t forget that we thank God that we have no correlation to the (inaudible) because if you look at the 10 year historical PC earnings of VLGCs, you will see that over the last 10 years, these ships were losing money for 7.5 years out of the total of 10 years. So as you can understand we’re extremely happy, but we are not directly correlated to the VLGC. We like the VLGCs. We do business with the VLGCs, but our rates are not directly correlated with VLGCs. Now on the matter of the spot market, like with all shipping segments, I guess there is a two tier market. The spot market is quite hot. So more than very young ships and quite stagnant for older ships. We were successful right here about the fixed sum of our oldest ships on period. Therefore we have them in the more volatile spot market. We still have some in the spot market, but to give you some guidance on what I mean, some real numbers, in the first quarter, one of our older ships had a one-month waiting time between cargos whereas one of our modern ships had a three back to back voyages with zero waiting time at $10,000 per day. So one ship had obviously a lot of rough time and the other ship made a fantastic passage because of that. So my goal is, as we’ve discussed again and again, A, sell the older ships, B, fix the older ships some period if you can, and C, buy only brand new or way modern kind of ships to lower average age and take advantage of the very hot, both the stop market and period market for hi-tech ships.
Omar M. Nokta – Global Hunter Securities LLC: Okay, Harry. And what would be the cutoff for you with respect to an old ship? Is that anything in the [1990s] or would that include also early 2000?
Harry N. Vafias: No. Don’t forget that LPG should have a longer lifetime, typical time period back there. I wouldn’t buy anything older than seven years. But what we consider old is anything above the 15 years or 16 years.
Omar M. Nokta – Global Hunter Securities LLC: Okay. And then, just on those charter extensions and renewals. Can you give a sense of what the day rate is? And I’m sorry if you addressed this already, but what the day rate looks like? If you don’t want to give the day rate itself that’s fine, but just like percentage wise or how different they were for especially they had a three and one year this new one how it those compared to what you’ve been getting previously.
Harry N. Vafias: For the order – but it’s again what we’ve discussed for the older ship, I mean for the fairly older ships we’re getting a small discount obviously for the most modern ships is stable to raising.
Omar M. Nokta – Global Hunter Securities LLC: Okay.
Harry N. Vafias: But, and then we do enough if we do another call we can maybe give you the average rate achieved or something.
Omar M. Nokta – Global Hunter Securities LLC: Okay, yeah, that’s fine. All right, that’s it for me. Thanks Harry.
Harry N. Vafias: Thank you.
Operator: The next question comes from (inaudible). Please ask your question.
Unidentified Analyst: [Foreign Language] gentlemen.
Harry N. Vafias: [Foreign Language]
Unidentified Analyst: [Foreign Language] congratulations for the recent offering and I’ve just got a couple of question. One, the recent tremendous drop in the Japanese yen, flush out for what this does for you especially in light of FOREX that you’ve already made for new ships at specific rates.
Harry N. Vafias: Yeah, first of all, we’re conservative in our orders and U.S. dollars, so fro the time being it doesn’t make anything for us. If we make more orders in yen then we won’t have the benefit, but the yards will be able to sell the ships at the lower priced because if yen has returned we’ll be able to make more money.
Unidentified Analyst: Right, so you don’t think you are going to have an extra kick out of the recent drop in the yen.
Harry N. Vafias: If we order in yen, we will have a small benefit, but I don’t think that’s something tremendous.
Unidentified Analyst: Okay, the opportunities in the United States, when would you think that you would say, okay it’s time to move 3, 4, 5 ships to the U.S.
Harry N. Vafias: Once the U.S. charters operators wants us to bring the model.
Unidentified Analyst: Do you actually develop some of those markets and talk to them and say listen if you need to outflow some LPG we’re ready wherever you are?
Harry N. Vafias: Being the largest owner in this specific segment, George they know it and if they want to ship they know who to contact first and if that goes extra ten ships, we would get closer to our 20% market share that means that we’ll be controlling one-fifth of the total (inaudible). They know where our ships are and if they need a ship they know how to get it.
Unidentified Analyst: Brilliant. Okay, thanks very much for your time.
Harry N. Vafias: Thank you.
Operator: The next question comes from (inaudible). Please ask your question.
Unidentified Analyst: Good afternoon gentlemen.
Konstantinos Sistovaris: Hi Jeff.
Unidentified Analyst: With respect to future financing and interest rate swaps what is your attitude today about hedging interest rates?
Konstantinos Sistovaris: Yeah, first of all financing wise, we still can’t get very good financing terms comparative to what’s in the markets. We get 60%, 70% finance with LIBOR plus to 280 which I think is below market so what our competitors are paying and hedging I just remember past we wanted to become (inaudible) because we had still lot of our loans went obviously the terms which are favorable but then what ever happened it was a considerably expensive. So now we are scared to book a big chunk of our loans on hedges, so we are taking a wait and see attitude, we don’t think that these interest rates will changer very soon. All of these we see a trend of change, then obviously we have the board that wants us to have at least 50% of the loans they hedged.
Unidentified Analyst: 100%. I believe Konstantinos has mentioned $2 million interest savings as a result of the hedges that are rolling off. I don’t have recollection presently of your share count after the offering, put pre the offering that would amount about a dime a share and additional income, can you adjust that versus your new share count?
Konstantinos Sistovaris: Before the offering, we had about 20 million shares. Post-offering, we have about 32 million shares, so you can do remarks, I mean it’s…
Unidentified Analyst: Fair enough. Thank you. Then last question; I thought in your presentation, you indicated market share today about 14% and at some point in the future, roughly 25%, did I read that correctly?
Harry N. Vafias: You read it correctly, but the goal is 20% to 25%. 25% is the highest that we hope to get, but it’s not an easy thing to do. As always we have 20% to 25% rather move on small range?
Unidentified Analyst: Fair enough. Using the 20%, what does that imply in terms of the total size of the market based upon today and I am assuming today the market is 14%, the number of ships is about 265 vessels, is that correct?
Harry N. Vafias: Yes. It’s about 50 to 55 ships and if obviously you take some of the older ships out, it give us small advantage, but let’s say for math for math, use 250.
Unidentified Analyst: Great. And then if you are at 20% market share, what mathematically number of ships you own, number of ships in the industry?
Harry N. Vafias: In 50 ships, we own 20%.
Unidentified Analyst: In that 50 ships – so at that point you have 46 ships is what I see now visibly, you are talking about 50 ship size fleet.
Konstantinos Sistovaris: It’s rather, we will get 46 if we add another 4 then we have 20% of the global share.
Unidentified Analyst: Got it. But presumably yields swap off some of your existing fleet as you have historically?
Konstantinos Sistovaris: Sorry I didn’t hear the beginning of the question.
Unidentified Analyst: Will you continue to divest some of your existing assets over time as you have done historically?
Konstantinos Sistovaris: That is what I just said. We want to sell the older ships and if somebody places a very high price for one of our modern ships, we might sell it and buy another one at a lower price.
Unidentified Analyst: Alright, thank you. Congratulations. It seems to me you’re making good progress.
Konstantinos Sistovaris: Thank you.
Operator: Your next question comes from (inaudible). Please ask your question.
Unidentified Analyst: Yes, hello. I wanted to clarify something, I seem to recall during the due diligence for the secondary, that you made a comment that you were coming out at about a 20% discount from net asset value. Today you mentioned that you did the secondary and you were very happy with it and you kind of did it at asset value. I am curious did I miss hear something or are you changing, you know as you’re…
Konstantinos Sistovaris: Yes, you are semi correct. When we did a secondary, we said that is a very good entry point for investors because they are buying the stock up 20% to 25% discount on NAV. Today, I didn’t say that I am happy because I sold it up NAV. I said I am very happy we’ve such a huge demand for the secondary offering. Obviously, I would have lost doing that NAV, it wasn’t possible at the time, but we did it much closer to a NAV, when what would have been the case two years ago. That is what I said.
Unidentified Analyst: So am I correct in assuming that your comments that the – that at $10 your feeling was it was 20% to 25% discount from a NAV.
Konstantinos Sistovaris: It’s not my feeling, it’s simply called the (inaudible), we have the valuations. The NAV per share pre-offering comes to about $12.5. So if the offering was at $10, it’s about $2.5 discount per share from the NAV.
Unidentified Analyst: Right. And the wisdom of doing a secondary at a discount NAV to buy new ships to NAV, what’ the philosophy there?
Konstantinos Sistovaris: The philosophy is that if we don’t raise money to buy ships now, when we have those hugely attractive fundamentals, by the time we wait for the stock projected NAV, maybe the slow shot of the fundamentals will not be there anymore.
Unidentified Analyst: Okay, thank you.
Konstantinos Sistovaris: Thank you.
Operator: There are no further questions at this time, please continue.
Harry N. Vafias: We would like to thank you for joining us at our conference call today and full interest and trust in our company, we look forward to having you with us again with our next conference call for our second quarter results in August. Thank you very much.
Operator: That does conclude the conference for today. Thank you for participating, you may all disconnect.